Operator: Good morning. Welcome to the CatchMark Timber Trust Fourth Quarter and Full Year 2020 Earnings Call and Webcast. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. I would now like to turn the conference over to Ursula Godoy, Chief Financial Officer of CatchMark. Please go ahead.
Ursula Godoy-Arbelaez:
Brian Davis: Thanks, Ursula. And thank you all for joining us on the call today. All of us at CatchMark hope you your colleagues, families and friends are staying healthy and safe. I extend particular appreciation and thanks to our employees for their ongoing dedication, resilience and performance. COVID created turbulence and dislocation across the economy last year, especially at the start of the pandemic. Weather from hurricanes and Pacific Northwest wildfires also presented challenges during 2020. But at CatchMark, these challenges serve to further prove the strength of our business model which is based on three key elements. Investing in prime timberlands with industry-leading productivity, focusing on investments in top middle markets, where we have strong counterparty relationships, and executing superior management focusing on delivered wood sales, as well as opportunistic stumpage sales. As a result, our nimbleness and flexibility allowed us to meet customer demand, and we continue to generate predictable and stable cash flow, which resulted in fully covered dividends. We ended the year with very strong results, delivering an excellent fourth quarter which exceeded prior year and lifted full year results above our company guidance.
Ursula Godoy-Arbelaez: Thank you, Brian. In analyzing our fourth quarter, we exceeded plan realizing timber prices higher than market averages, securing higher year-over-year pricing in the Pacific-Northwest, and as we had anticipated, executing on timberland sales delayed earlier in the year by COVID constraints. We also capitalized on land sale opportunities that arose late in the fourth quarter. Specifically, total revenues, net loss reductions and adjusted EBITDA register above planned and prior year, as net timber sales, timberland sales and asset management fee revenue increase and losses from the unconsolidated Triple T joint venture decrease significantly.
Todd Reitz: Thanks, Ursula. While 2020 will go down as one of the most turbulent years on record for our country, our industry proved to be more resilient than most. With the help of our Field Managers, we did an excellent job managing through the challenges. We remain nimble and responsive to customers supply chain needs, and ever-changing schedules in order to meet our targets for the year. The strong fourth quarter was ultimately driven by heightened housing demand. In particular, we were able to capitalize on middle demand and a strong pricing environment in the Pacific-Northwest. With the rainy season approaching, Pacific-Northwest sawmills needed to build inventory during the fourth quarter, after third quarter wildfires disrupted their operations and depleted their inventories. Lumber order files remained robust, which in turn, allowed mills to run wide open, only taking downtime during the holidays. Export business also showed improvement during the quarter, as it had to compete harder for logs against substantial domestic demand driven by strong housing fundamentals. That all translated into better log pricing. We capitalized on the upsurge of middle demand and the strong pricing environment, which led to generating an outsized quarter compared to prior year. In the fourth quarter, overall timber sales revenue was comparable to prior year, as increased harvest and sawtimber pricing in the Pacific-Northwest helped offset what were anticipated decreases in US South harvest volumes and pricing. Our Pacific Northwest sawtimber price increased by 36% in the quarter compared to the same time period in 2019. In the US South, volume production was 12% lower year-over-year, as higher harvest volumes in 2019 were deferred to the fourth quarter after weather-related delays earlier in the year. In 2020, our production was more consistently spread out over each quarter. Importantly, CatchMark's pulpwood and sawtimber pricing in fourth quarter 2020 continued to hold substantial premiums, 46% and 18%, respectively, outperforming TimberMart South US south-wide stumpage prices. We also met and then exceeded our timberland sales targets for fourth quarter, by both completing sales deferred earlier in the year due to pandemic-related delays and taken advantage of opportunities that came late in the quarter. Our fourth quarter helped to boost full year results, as we managed successfully around various pandemic, storm and fire-related obstacles. Throughout the year, we realized premium timber sale prices substantially above market averages and our core operations, and met higher year-over-year annual harvest volumes and productivity levels consistent with historical rates. Our delivered wood model, comprising 78% of our timber sales in the US South, and 98% in the Pacific-Northwest, again played an important role in controlling the supply chain and producing stable cash flows, so we could meet customer demand. The visibility provided by our delivered sales channel also permitted us to identify and execute on stumpage sale opportunities that captured pricing premiums throughout the year. As a result, full year timber sales of $72.3 million were comparable to prior year. Total harvest volume increased 3% and sawtimber increased to 43% of total harvest volume with Pacific-Northwest operations now fully integrated. Other highlights of our harvest operations for the year include: in the US South, we realized premiums for stumpage prices for pulpwood and sawtimber, 49% and 20%, respectively, above TimberMart South south-wide market averages; in the Pacific-Northwest, that timber revenue of $5.7 million more than doubled 2019 results, driven by an 80% increase in harvest volume and an 18% increase in year-over-year sawtimber pricing. Timberland sales for a full year 2020 of 9300 acres for $15.6 million exceeded the upper end of guidance. The total number of timberland sales transactions, 37, was the highest for any one year in CatchMark's history, as we capitalized on increased retail demand that emerged in the wake of the pandemic. Looking ahead, supported by solid housing numbers, we expect the positive trends for log prices and revenues in the Pacific-Northwest to continue in coming quarters and to register further gains in the US South, as new projects come online in and around our micro markets. After a rollercoaster ride in the fourth quarter, lumber prices have remained strong, even heading above $1,000 per 1000 board feet in the first quarter of 2021. Our customer orders have strong visibility into the year and sawmills are running at 90% plus capacity, better than historical averages, with any bottleneck to added production tied to labor and COVID impacts. Meanwhile, pulp product markets have remained steady during the fourth quarter and the trend continues into the first quarter of 2021. After finishing with a very strong fourth quarter and ahead of plan, the timberland sales outlook appears robust in 2021, with continued high levels of interest and activity. We anticipate a majority of closings to occur after the first quarter. Considering all the ups and downs of 2020, there was a very strong year for operations, and we have good momentum entering 2021. Brian, back to you.
Brian Davis : Thanks, Todd. The team did a great job in maximizing productivity from our assets, utilizing delivered wood sales to deliver consistent cash flows, taking advantage of stumpage sales opportunities in our micro markets, and being nimble to navigate the various challenges we faced. The result was a very strong year in all of our key performance metrics, and that leads into CatchMark's guidance for full year 2021. We project a GAAP net loss of between $6 million and $10 million, with no expected additional losses from Triple T. Adjusted EBITDA is expected to register in a range of between $43 million and $50 million, which is consistent with 2020 guidance. Harvest volumes are forecasted between 2 million tons and 2.2 million tons, reflecting consistent annual productivity on a per-acre basis from our high quality assets. Harvests are expected to increase sequentially during each of the first three quarters, with fourth quarter volume approximating the average of the year. Approximately 95% of forecasted harvest volumes will be derived from the US South region, with a sawtimber mix of between 40% and 45% from the US south, and between 85% and 90% from the Pacific-Northwest. Asset management fee revenue is projected at approximately $12 million, and our Timberland sales target of between $13 million and $15 million remains around 2% of the acreage. Taken together, we anticipate continuing to meet our strategic goals during the year ahead. We will remain focused on continuing to deliver sustainable and predictable cash flow, sustaining industry-leading metrics for higher productivity per acre, maintaining healthy liquidity and a stable leverage profile, positioning the company for transformative opportunities through capital recycling, and most importantly, generating a fully covered dividend. All signs point to a favorable outlook for housing in a more normalized post-pandemic economy to help support demand fundamentals. In addition, as discussed, we anticipate benefiting from ongoing middle market expansion in and around our prime US South timberland base. In conclusion, CatchMark's operating strategy proved its value again in 2020, helped us manage through a difficult year for the economy and delivered results exceeding company guidance for the full year. Most notably, we continue to achieve pricing premiums well above industry averages, because of the superior quality of our timberlands, the middle markets we are located in, and our delivered wood sales model supplemented by opportunistic stumper sales. And CatchMark's excellent 2020 fourth quarter provides momentum for us entering 2021. Our capital position remains strong and liquidity is ample and we'll remain disciplined in our capital priorities, including assessing new investment opportunities. Amendments to the Triple T wood supply agreement have allowed Triple T to realize market pricing on all timber sales, enhance the future value of the asset and put in motion recapitalizing our investment in the joint venture. And the positive long-term outlook for housing markets bodes well for strong demand in our middle markets, and overall, improved demand for wood products. Our team is fully engaged in ensuring that CatchMark continues to deliver attractive dividend fully covered by cash flow from operations and to provide long term shareholder value. We look forward to delivering strong results in 2021. Thank you again for joining us today. And now Ursula, Todd, John, and I, will be happy to take your questions.
Operator:  The first question comes from Anthony Pettinari of Citi. Please go ahead.
Randy Toth: Good morning. This is actually Randy Toth sitting in for Anthony. I just wanted to touch on the harvest volume expectations for full year 2021. I think you're guiding to something like down 10% at the midpoint year-over-year, can you just talk about what is driving that expectation? Thank you.
Brian Davis: Good morning, Randy. This is Brian, I'll first start on thinking about our business model, it's really about high productivity, the assets which we own, we're looking at maintaining that around five tons per acre. And so, you have to look at context of what we've been doing a better part of the last two, three years -- has been going through capital recycling. We've sold off approximately 30,000 acres of lower productivity assets. And that has had a slight negative impact to us from a gross volume standpoint, but it's not -- it is actually addition by subtraction from a productivity standpoint, because those assets on a forward-looking basis were either going to be neutral to dilutive on a cash basis. And so, even though you may have productivity numbers of one to two tons per acre, you combine that with our regular way land sales, that gets into your aggregation associated with a reduction in a year-over-year basis, really tied back to what we believe is smart capital allocation regarding low producing assets. Todd, anything else to add regarding our volumes for 2021?
Todd Reitz: As you look at just the overall productivity on top of that is -- the land sales that were sold, were lower productivity compared to the core, so we're selling off 15, 20 tons per acre. Now, at the core, we're still not 40 to 41 tons per acre. And so, from the overall productivity going forward, we're in really good shape. Throughout the year, we're going to build this total production probably a little bit under that 25% in the first quarter, and then ramping up through third quarter and leveling off there in the fourth.
Brian Davis: Just to put another emphasis on there, our productivity on a per-acre basis has been very consistent at that five tons per acre per year. So, no real change in underlying core assets.
Randy Toth: Got it. Maybe shifting to the Pacific-Northwest, have you seen any impact on pricing or demand from the fire salvage efforts in the region? I think one of your competitors called out some localized impact in Oregon. I just want to make sure that wasn't affecting the abandoned  property at all.
Todd Reitz: Hey, Randy, This is Todd. At this point is still early to see how that's all going to flow in. But just from refreshing kind of where the impact of the fires located, that was not directly around our property there. So it would have been to the north and maybe to the east of us. So far, we haven't seen that come in. But again, it's early season. First quarter, rainy events and those kind of things impacting production right now, a little early to see or to say just how much that's going to impact us going forward from a salvage perspective. And then also, what's that going to do as far as maybe the export business. Typically, fire salvage material doesn't really make it into the export side. So there could be some upside potential there if you have green logs and the ability to capitalize on that going forward.
Randy Toth: Okay, understood. Thank you. I'll turn it over.
Operator: The next question comes from Paul Quinn of RBC. Please go ahead.
Paul Quinn: Yes, thanks very much. I appreciate the added color. Just how forced the market report back in September, you're trying to estimate the amount of excess sawtimber in the U.S. So, then they're putting it on a 10 billion board feet of lumber, which is sort of equivalent to 40 to 50 mills. I know you guys are locating sort of tighter with that feet . But would that be consistent with what you're thinking the overall U.S. South?
Brian Davis: Good morning, Paul. Brian Davis. The force market, we took a look at that as well and we believe is dated a number of years back. But from the standpoint of the overall U.S. South, it is micro market driven. We've heard some announcements of private investments in the state of Mississippi and I would not expect to see an impact -- a positive impact on pricing there just from a demand standpoint because of the excess supply. Now from our standpoint, what we what we've seen from an expansion, not too dissimilar to Interfor's acquisition of WestRock. The first thing that they talked about was increasing the capacity associated with that mill. It's slightly outside our procurement area, but it's in the coastal market and we would anticipate seeing an increase in pricing from our standpoint. So, the challenge here, Paul, is that the U.S. South is not all equal. And so from the markets, what we're looking at, we would anticipate kind of low single digit product price appreciation or markets, which is somewhat different than our natural peer set is talking about. Again, it goes back to our micro markets being driven by the increased consumption of wood products. And what's interesting to know, we did talk about an increase in capacity of the sawmills of over 20% since 2018, but you're still seeing lumber prices drive where they are. So, from that standpoint, we believe the wood products industry has followed behind housing, which we think housing has in a duration that will help ultimately drive product pricing in the U.S. South and we believe we are the first ones well positioned in order to participate in those price appreciation.
Paul Quinn: Yes, okay. And then in your discussions with your log buyers in your individual markets, and then obviously the sawmillers are making record profits here. So, they have the ability to give up some of this fortune that they've got. Is there significant pushback? I guess there's lots of opportunity for them to go to different suppliers. Why aren't prices moving up more than the incremental 2% to 4%?
Todd Reitz: Yes, Paul, this is Todd. Right now, you're seeing some of that. I think during the first quarter, we will see maybe a little bit of an outsized increase in price just to a couple of factors here. One, it's weather, so that's going to be driving some of it. You also have new capacity coming in and as they're building their place in the market, if you will, you might see some outsized production or push to begin to fill their orders as well. It feels like it's a little early to try to bake in 6% to 7% change across the course of the year because we've seen so much of this be cyclical for us, if you will. As you move into the drier seasons, you don't have to move out as far production is easier for everybody. More people can fit in there. It's a matter of them balancing their production. We're still not seeing sawmills out there trying to build a lot of inventory from a log standpoint. What's happening as logs are coming in, they're milling it and immediately shipping it out. You know how that ties directly back to what we're seeing from housing. Also, your box stores, your repair, remodel, all of this just is driving such at the demand, there's still only that three to five days, maybe seven days max inventory front or back. They're being able to cover their needs, I guess is my point there. They're not in a scramble mode to where they're having to just price out there to get the volume up and above where they currently are. I would expect you want to be pretty strong on coming out of the gate, just with all the factors going on. Again, as I stated with weather and new capacity coming online.
Paul Quinn: Okay, and then just lastly, just any issues that you guys have had on the on the personal productivity side, related COVID?
Brian Davis: No, we have not. I think we stated earlier on how we had managed our position here at the office with people alternating. We're also set out to where everybody has their own space. There's no cubicle or anything like that. Third party managers in the field are from the course of the business, they work and they're already social distanced, and they've all managed that really, really well. A lot of people have gone more what we have seen. It's interesting, you've seen a little more technology go into the field where people are using iPads and other connectivity in order to fill out reports and those kind of things so they don't have to necessarily be in-person all the time. So now we've been able to manage to that very well.
Todd Reitz: I think the biggest challenge there is related to really the mills and we've seen some slowdowns or some shut downs as a result of COVID activity that we really did see last year. We haven't experienced any of that as we sit here today recently, but that could be always a hang up associated with that.
Brian Davis: A little more on that, too. It's interesting how mills would transition their management of these issues. And early on, we saw some where if they had a COVID issue, the whole mill would shut down and then they started breaking up into areas, or sections, they might take out if someone worked in a planer area, they might have to shut down the planer -- do all over their cleaning and what needed to be done there and then get back up and running. So, they've managed through that transition as well.
Paul Quinn: Great. Thanks very much.
Brian Davis: Thanks, Paul.
Operator: The next question comes from Buck Horne of Raymond James and Associates. Please go ahead.
Buck Horne: Hey, thanks. Good morning. Just wondering if there's any assumption baked into the EBITDA guidance? Or what's your thought around logging and hauling costs over the course of the year? Do you expect more inflation there? How does that affect the overall EBITDA guidance in terms of just operating costs this year?
Todd Reitz: Hey, good morning, Buck. No, what we're seeing right now is that it's pretty much going to be your operating cost and we're not hearing or experiencing any type of major upsurge, if you will, in the cost to run the business. You end up seeing maybe an increase depending upon really the freight and how far we're having to go to move product and those kind of things. But again, that tends to move seasonally as well. From the overall production of moving, from stump to truck, all that's been really consistent. I guess the one thing would be just what ends up happening with oil prices as we go forward. And right now, it's kind of early to say if there's going to be much change to that. Should that have a major move, then yes, we would anticipate maybe some changes down the road or impact of the actual cost of running the business.
Brian Davis: Yes, and just to add on top of that, Todd, from the standpoint of diesel, we do have some of our wood supply agreements that allow for adjustments associated with diesel prices. And so, that does act as a partial offset especially in our pulpwood business.
Todd Reitz: Yes. No, that's a good point.
Buck Horne: Okay, that's great. That's great. That's helpful, guys. Thank you. I think I know the answer to this question, but I figured that out  anyway. But, with the economics of the sawmill business being so strong and with the outlook for continued growth and kind of a long-tailed upcycle and housing, obviously, there's a lot of economic incentive out there for people to do some Greenfield projects. But do you consider ever the possibility of more vertically integrating the model? Maybe looking at sawmills within your wood baskets to kind of capitalize the full value chain? Is that something that you kick around in the back of your mind in terms of adding that to the portfolio?
Brian Davis: Sure, Buck. This is a fun, hypothetical question. So, if you would have asked this of me in 2006, then I would have told you no. And if you'd asked me in 2021, I'll tell you, yes. If you can tell me which time period we'd be operating a sawmill, maybe hypothetically, we can consider it ever. I think those were your two words. But now we're a timberland company. We grow trees, Buck, and that's what we're really, really good at. We allocate capital in the right markets and effectively through a delivered wood model. We're paired up with the right sawmills to operate with along with the pulp mills. And so, from the standpoint of a return in capital, I get that during these periods of time, but you really have to have a 10-year mindset relative to that. And we do a really, really good job operating a forest. We really have to have a partner come in to run a mill if you'd ever want to do that in a joint venture format. But that is so low on our priority list. It's kind of something you'd write down on a napkin more than anything else. So, it's not a priority for us at all.
Buck Horne: All right, great. Appreciate the context. Thank you, guys.
Brian Davis: Thank you.
Operator: The next question comes from Dave Rogers of Baird. Please go ahead.
Nick Zelman: Hey, guys, it's Nick on for Dave. Thanks for the update on the details for guidance. I guess, one question I kind of wanted to dig into is what does the acquisition pipeline look like at this point in time?
Brian Davis: Hey, Nick, this is Brian. It really centers around our capital priorities at this standpoint. It's really about the dividend liquidity leverage, share repurchases and then acquisitions. The acquisition market in general has been very, very light from the standpoint of deals coming to market. And that really bodes well for us as we think through the opportunities associated with Triple T. But we're always in the market, we're always looking at opportunities. This time last year, what I would have told you is consistent with what I'll tell you today, is that we liked the small bolt on acquisitions that are close to us and that kind of $1 million, to 10 million, $15 million-size range. But as we sit here today, we'd have to really weigh that relative to share repurchases and leverage.
Nick Zelman: Okay, yes, just along those lines, if the right opportunity presents itself, what is your guys appetite to issue equity to fund acquisitions at this time?
Brian Davis: So, you can really take a look at what we've done historically. So, when we made the Coastal acquisition back in 2017, we actually paired an acquisition with an equity offering. It was accretive to us relative to that acquisition. So, our share price would have to be at a working share price in order to do that. So, it's consistent with what we've done in the past.
Nick Zelman: Great, that was it for me.
Brian Davis: Thank you.
Operator: The next question comes from Brian Gibson of Raymond James. Please go ahead.
Brian Gibson: Hey, guys. Appreciate the time here. I'm just trying to understand the company better. And this question-and-answer period is very helpful. Just listening to your answering the other questions. But I've got a few questions here. Again, just trying to understand the company better, what percent of revenue comes from pulpwood, versus two-by-sixes? Or what percentage of revenue comes from pulpwood and then what percentage comes from like OSB board or two-by-sixes or two-by-fours?
Todd Reitz: Hey, Brian, this is Todd. So we think about overall production and running of our business here. Pulp is going to represent, little better than 50% of what we do, kind of on an annual basis from a production standpoint. Then you look at our solid wood production that comes in, that's another 30% to 50% of that sawtimber production, if you will. That includes smaller logs as far as chipping saw and also the large timber, which was your sawtimber products. Of that sawtimber probably represents, 20% to 30% in the overall mix, which would cover part of your two-by-six production question there, if you will. And then OSB would be involved in part of our overall pulpwood production. So, it's mixed within that total volume, if you will. So, if you were on 2 million tons, you'd be looking at about a 1 million to 1.1 million tons of our production is on the public side.
Operator: The next question comes from Craig Kucera of B. Riley Securities. Please go ahead.
Craig Kucera: Yes, thanks. Good morning, guys.
Todd Reitz: Hi, Craig.
Craig Kucera: I do appreciate the color you gave on the soft primer pricing expectations in 2021. But what do you attribute the decline in pulpwood pricing from last year? And kind of what are your thoughts on pulpwood prices as we move through first quarter?
Todd Reitz: Hey, Craig, this is Todd. Yes, so it was a just from an overall market perspective, what we saw, they were ample production coming in, you had a lot of movement. You think about earlier in the year, we had sawmills go down, take downtime due to COVID shift, went more towards the pulpwood side of things. So, you had added production going into it. So, it really comes down from the supply side, if you will. It was extra supply, hit the market. And then you look at going forward, again, I would echo my comments earlier about Q1 being strong. It's kind of across the board right now and all products weather-driven, if you will, timing, so you'll see some cyclicality around that anticipate 2021 being a good year on the pulp side. It's going to be very consistent as it has in years past the counterparties we have with containerboard as well as the flow of pulp markets, those kind of end uses are going to be very, very strong and in-demand. So, we would anticipate, again a good year there with a little bit of upside associated with it as you get back to more of a normalized kind of harvesting, if you will, as far as mix across the board thinnings to final harvest which will dictate and impact the amount of pulpwood that really flows into the overall market.
Brian Davis: Hey, Greg, this is Brian. Just to add on top of that, it's important to note that OSB is actually a pulpwood product and OSB feeds really well into the new home construction because that represents about 60% of the supply of their manufacturing base goes into new homes and the other 20% goes into repair and remodeling. So, as you take a look at pulpwood prices, OSB becomes an important consideration from a demand side as well.
Craig Kucera: Got it. And circling back to your G&A, I know there was a pickup in 2020 because of some severance cost, but what expectations are baked into your 2021 guidance as far as G&A?
Ursula Godoy-Arbelaez: Hey, Craig, how are you? So, if you look at the G&A for 2021, we'd anticipate for it to go back down to the 2019 levels. As you mentioned, 2020 was impacted by some employment benefits associated with the Separation Agreement. So, when you think through this on a cash basis, you can expect it to be around $10 million to $11 million. As you look at gross G&A numbers, you will also want to bake in another $2.5 million of equity compensation.
Craig Kucera: Okay, great. And one more for me. I feel like at certain times you've had some fairly large land sales that were kind of out of the ordinary of selling -- 1% to maybe 2% of the portfolio. Are any of those on the table this year?
Todd Reitz: Looks like, what are you referring to this kind of capital recycling, if you will?
Craig Kucera: Right.
Todd Reitz: We evaluate portfolio over the course of every year, really. So, as of right now, you're looking more towards our regular way-type business, if you will. And that was where I think in some of Brian's prepared remarks, we're still looking at that around 2% level, if you will.
Craig Kucera: Okay, thanks.
Brian Davis: Thanks, Craig.
Operator:  The next question comes from Albert Sebastian of Prospect Advisors. Please go ahead.
Albert Sebastian: Good morning.
Brian Davis: Good morning, Al.
Albert Sebastian: Congratulations on the good results for the last year.
Brian Davis: Thank you.
Albert Sebastian: I got a couple questions. First, what area the underlying pricing assumptions with regards to pulpwood and saw log prices for your guidance for 2021? Are you looking for down, or flat pricing, or better pricing?
Todd Reitz: Hey, this is Todd. Yes, I would think we would be looking from an overall perspective, if you will. You could be looking at that kind of 3% to 5% on the solid wood side of things moving throughout the course of the year; you'll see some ups and downs, quarter-to-quarter depending upon whatever factors we're dealing with at the time, whether it's weather or if you had a fire season, those kind of things will impact you. But normal course business for us, you look across our landscape, it's going to be in that 3% to 5% range. We're already at an advantage to most of the regions if you think about our overall position where we are on a pricing perspective. So, that can be still very meaningful for you, starting from a little bit higher point of view, if you will. And so, I think that would be consistent across the board, just as a general view of where we are. We're anticipating some increases throughout the year.
Albert Sebastian: Good. And on the asset management fee revenue, I guess you're looking for kind of flat revenue year-over-year for 2021? Is that correct?
Ursula Godoy-Arbelaez: Hey, good morning, Al. Yes, that's correct. So, this is still all based on the asset management agreement that we have for the Triple T joint venture in place, which there was an amendment done earlier in 2020. And so those numbers of $12 million will reflect that already.
Albert Sebastian: And so, I'm just trying to understand, where does it show up the better supply agreements with Georgia Pacific in the Triple T joint venture? Where would that show up in the P&L in terms of, better EBITDA?
Brian Davis: Hey, Al, this is Brian. So, from the standpoint, it's not consolidated in our income statement, and so what you actually see will have supplemental information and our queue in our case, relative on a high summary basis on the performance of Triple T. And so, what you would see is really from an operating cash flow standpoint, where it stood, but that also includes a lot of other activities such as land sales that goes along with the operation of Triple T. So ultimately, where does Triple T hit with us? It's really an asset management fee, not an operations set of the business.
Albert Sebastian: Did you get a dividend? Does the joint venture pay a dividend then?
Brian Davis: If there is a distribution, it would go in accordance with the capital structure and it would first go to the preferred shareholders and then to us. We have not received a dividend from Triple T at this point.
Albert Sebastian: Okay, okay. And just from a top-down perspective, I'm trying to try to understand the guidance because the guidance -- you're looking for EBITDA to be down about 10% in 2021 versus 2020. We're looking at a lumber market, it's the best lumber market we've ever had. Lumber prices are through the roof. Your customers are making a lot of money and of course, on the paper side with pulp prices, and line of board  prices, et cetera and quite strong as well. I guess again, G&A is going to be coming down this year versus 2020 and you got better pricing. And I know you got harvest volumes down; so I'm not completely understanding why they're down. But, just from a top-down perspective, it just seems as though the industry conditions are quite good. They're fantastic for your customers and it seems like you're making the right moves. But yet, as an investor, I'm looking at EBITDA being down 10% this year. So what conditions -- which I really am not completely understanding -- so I'm trying to understand what conditions are necessary for you to grow EBITDA?
Brian Davis: Hey, Al. This is Brian. I think the question in there is when and so from the standpoint that we have high quality assets, so we're still producing at five tons per acre per year. So that's not really a change. What you see there from a volume standpoint is a reduction as a result of selling off nearly 30,000 acres associated with capital recycling and then you combine that with a regular way  land sales of about 25,000 acres over that period of time, that gives you about 60,000 acres even at low productivity at two tons per acre, which is diluted relative to our overall portfolio. That's about 120,000 tons. So that's just a quick math for you on that. As it relates to product price appreciation, Al, this has been from our standpoint, this is the last leg. It's really housing and it's not just housing for a today thing, it's a housing for duration element to it. And so, if you take a look at our natural peer set, what you're hearing from us is slightly different and that is that we're expecting some product price appreciation in the U.S. South. It's not additional supplies coming in, it's a duration. So, what we need are these mills to continue to expand or new greenfields to come in and have that radius element to it of consuming wood products in the markets in which we operate in. So, what we're needing is duration of housing, not just a housing event. Now lumber from the standpoint, they've actually under-built their capacity. Think about it, since 2018 they've had a 20% increase in sawmill capacity, but yet you're still seeing lumber prices to where they're going. And so from that standpoint, more capital coming into this space, more capital coming into the U.S. South, it should bode well for us on the long term basis.
Albert Sebastian: Okay, okay. Thank you.
Brian Davis: Great, thanks, Al.
Operator: As we are getting close to the end of our time, this concludes our question-and-answer session. I would like to turn the conference back over to Brian Davis, President and Chief Executive Officer for any closing remarks.
Brian Davis: Thanks, Andrew. And thank you, everybody, for joining us today. We're excited about 2021 -- the prospects, the team -- we're all excited to see the results throughout this year. We believe it's going to be a transformative year, and you'll be very proud of the results which we'll put forth. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.